Operator: Good morning and welcome to the Gibson Energy 2015 Third Quarter Results Conference Call in which management will review the financial results of the company for the three months ended September 30, 2015. I would now like to turn the meeting over to Tammi Price, Vice President of Investor Relations and Corporate Development. Please go ahead.
Tammi Price: Thank you, Sarah and thanks everyone for joining us this morning. During today’s call, forward-looking statements maybe made. These statements relate to future events or the company’s future performance and will use words such as expect, should, estimate, forecast, believe, or similar terms. Forward-looking statements speak only as of today’s date, and undue reliance should not be placed on them as they are subject to risks and uncertainties, which could cause actual results to differ materially from those described in such statements. The company assumes no obligation to update any forward-looking statements made in today’s call. Any reference during today’s call to non-GAAP financial measures, such as EBITDA, adjusted EBITDA, pro forma adjusted EBITDA or distributable cash flow is a reference to financial measure, excluding the effects of certain items that would impact comparability. For further information on forward-looking statements or non-GAAP financial measures used by Gibson, please refer to the 2015 third quarter management’s discussion and analysis issued yesterday by the company and, in particular, the sections entitled, Forward-looking Statements and Non-GAAP Financial Measures. All financial amounts mentioned in today’s call are in Canadian dollars, unless otherwise stated. Joining me on the call today are Stew Hanlon, President and CEO and Don Fowlis, Chief Financial Officer. The format for the call will be that Stew will provide an overview of our results and Don will review our capital spending plans and highlight a few items regarding our financial position. This will be followed by a question-and-answer session. Cam Deller, our Manager, Investor Relations and I will be available after the call to answer analyst modeling questions. With that, I will turn it over to Stew.
Stew Hanlon: Thanks, Tammi and good morning, everyone. I am pleased to have this opportunity to update you on our third quarter, which we generated $413 million in pro forma adjusted EBITDA on a trailing 12-month basis. Contributing to this trailing 12-month performance was adjusted EBITDA of $95 million in the third quarter, approximately 17% lower than the same period in 2014. Now considering the magnitude and duration of the industry trend down, I’m pleased with our overall third quarter performance throughout the resiliency of our finance results and the successful efforts we have made to respond to this challenging environment. Gibson’s network of integrated business capabilities serves as a diversified cash flow and enables a high degree of discipline with our capital allocation. This strategy benefited Gibson’s shareholders in the third quarter, and I’m confident it will continue to be successful as we navigate through these volatile industry conditions. We have made meaningful strides to strengthen our operations in the face of these headwinds, including payroll and headcount reductions, the realization of vendor concessions across our cost structure, the achievement of internal efficiency gains and a reallocation of our capital spending to the highest risk-adjusted return opportunities. Furthermore, these tactics, when coupled with our underlying business strategy, a strong balance sheet and a conservative payout ratio, provide us the ability to grow the company while also providing a growing dividend stream to our shareholders over the long-term. Our third quarter results benefited from strong performance in our Terminals & Pipelines and Propane and NGL Marketing and Distribution segments. Both of which were anticipated as a result of their lower sensitivity to energy industry activity levels. Also in the third quarter, we achieved stronger-than-expected sales and margins for our road asphalt within our Processing and Wellsite Fluids division. That being said, the current business environment is proven to be challenging for most participants involved in the energy market. Reflecting the continued decline in commodity prices in the third quarter of 2015, it can go without saying the cash flow profile and the capital expenditure outlook from many upstream customers has deteriorated. The seasonal upswing in drilling and completion activity that we would normally expect in the third quarter did not occur this year, and activity levels reached multiyear lows. For example, both oil well completions in Canada and the oil-directed rig count in the U.S. were down 60% in the third quarter of 2015 over the same period in 2014. Furthermore, producer activities have become increasingly concentrated in select basins as operators focused largely on the best acreage in their key plays. As expected, these conditions resulted in continued weakness in our both – both of our Environmental Services and Truck Transportation segments. I will now discuss the individual segment profits in more detail. As noted, operating performance in our Terminals & Pipelines business remained strong in the third quarter, delivering similar results as compared to the second quarter with segment profit of $34.2 million. Third quarter segment profit, when measured on a trailing 12-month basis, has increased by approximately 27% over the same period in 2014. This growth was supported by the commissioning 1.7 million barrels of new storage capacity, achieving full contribution from our take-or-pay arrangements for the unit train loading facility and enhancing pipeline connectivity to the recently twinned Cold Lake Pipeline system at Hardisty. Specific to the third quarter of 2015, although segment profit dipped modestly over the prior quarter, this was due to certain nonrecurring costs and we continue expect strong results in the coming quarters. In the third quarter, we made good progress on our multiyear expansion projects currently under development at our Hardisty terminal. Supported by long-term take-or-pay contracts, we are currently constructing 2.9 million barrels of new storage capacity at Hardisty. That will bring our total terminal capacity to 8.9 million barrels. Also nearing completion at Hardisty is our project to enhance terminal connectivity related to the twinning of the Athabasca pipeline. Similar to most of our storage capacity expansion initiatives, this project is underpinned by long-term contract and will bring additional volumes to the terminal upon completion. In addition to these initiatives at Hardisty, we continue to address the construction of a 300,000 barrels storage tank and expanded rail loading capability at our Edmonton terminal. Construction is proceeding according to plans, and we have strong visibility to future cash flow growth based on a phased commissioning schedule, which brings the less of the current slate of the in-flight development projects into service by mid-2017. We continue to have confidence in the growth profile of the Canadian oil sands production into the 2020 time frame based on analysis of projects currently sanctioned and under develop – and under development by industry. Most importantly, we remain in close conversation with the major oil sands operators to accommodate their future tankage and midstream infrastructure requirements. Third quarter segment profit in our Environmental Services business declined 6% over the second quarter of 2015 to $14.2 million. Year-over-year, this business segment has been challenged by severely weak industry fundamentals that have curtailed activity levels, prompted rate concessions and are now manifesting in volumetric declines within our production – more production-related service lines. We have been working diligently on cost-reduction initiatives to maintain strong gross margins in this business segment, and I’m pleased to report that our third quarter margins remained healthy at 33%. With an eye to the future, we completed two organic growth projects in the third quarter, commissioning a new PRD facility that is situated within our key Hardisty terminal and upgrading the capability of our PRD facility at Cynthia. Both of these facilities are performing according to expectations, and we look forward to attractive, fee-based revenue growth in the ramp-up period. So the growth capital expenditures to-date in 2015 have positioned us to be shovel-already with a number of initiatives that we will commence when conditions improve. Our Truck Transportation business also experienced difficult operating conditions in the third quarter of 2015, generating segment profit of $11.4 million. Base level volume declines began to materialize in nearly all of our operating basins in the third quarter of 2015, and intense competition continued to result in loss of volumes that did not meet our economic return targets. We’re also impacted by the reduction in sulfur hauling related to an unplanned downtime at both the Syncrude and Suncore mining operations within the quarter. Volumes in the third quarter of 2015 were approximately 16% down from the same period in 2014. Despite a 23% year-over-year decline in revenue, gross margin percentages in the third quarter remained in line with historical averages due to the inherent cost flexibility we have built into this business segment. Now looking forward, as we progress into the fourth quarter of 2015, we expect a slight quarter-over-quarter increase in activity and further gradual strengthening in 2016 as industry conditions stabilize, competitive pressures ease and our cost alignment efforts continue to materialize. Our Propane and NGL Marketing and Distribution segment delivered strong results with segment profit of $19.2 million in the third quarter, representing an approximately 45% increase over same period in 2014. These strong third quarter results included the capture of robust margin opportunities within our wholesale propane and NGL business and stable contributions from our industrial propane business. Illustrating the benefit of our rack plus distribution model, industrial propane margins remained in line with historical averages despite continued weak North American propane prices. Our wholesale business benefited from our strategy to add real card capacity to our operation with last year. This expanded rail capacity contributed to a 26% increase in wholesale propane volumes and an 8% increase in NGL volumes. This was complemented by a high level of logistical coordination within our wholesale team, enabling us to capture attractive margin opportunities. This should continue to be beneficial in the coming quarter. And while I am delighted with the year-to-date performance of this business segment, the weather outlook for the upcoming important winter months suggests some possible fourth quarter headwinds for the industrial propane business. Third quarter segment profit of $17.2 million in our Processing and Wellsite Fluids business represents a near-record quarterly level of profitability, increasing 21% over the same period in 2014. The primary contributor to these strong results was a 61% increase in road asphalt sales that was supported by favorable weather that extended the paving season, along with market share gains in certain Canadian and Northern U.S. locations. Reflecting lower oilfield activity levels, weak demand persisted in our Wellsite Fluids product lines, illustrated by a 43% decrease in frac fluid sales and a 28% decrease in distillate sales. Despite the volume reduction in these higher-margin products, we have delivered a 7% increase in gross margin as a percentage of sales in the third quarter as compared to the same period in 2014. These gains were achieved by capturing attractive margins on a spot sales of road asphalt through our – and through using our newly expanded rail loading capacity at our Moose Jaw facility. With the 2015 road paving season now behind us and given the continued weak outlook for oilfield drilling and completion activities, we do not accept – expect similar gains in the fourth quarter. Our Marketing segment contributed $6 million in the third quarter, which was up consistent with our second quarter as many of the same business conditions persisted. Various unplanned production and refinery disruptions in the physical market during the third quarter resulted in severe intra-period volatility in numerous grades and qualities of heavy Canadian oil. Unfortunately, despite this volatility, Canadian heavy oil differentials did not widen sufficiently to offer material margin opportunities in our crude marketing segment. And although I am pleased with our third quarter sales volumes in our Marketing segment that reflect excellent marketplace penetration, profitable blending opportunities were weighted only to the final month in the quarter and did not offset the challenges that we experienced early in – earlier in the quarter. As always, our marketing team will continue to focus on sourcing and directing crude oil and liquids volumes to maximize internal capacity utilization across our midstream infrastructure assets, thereby earning incremental fee-based revenue for the company as a whole. In summary, the third quarter of 2015 truly exhibited the benefit of maintaining an integrated portfolio of business capabilities as strengths in certain segments were able to offset weaknesses in others. We achieved some key successes in the third quarter, including continued progression of our key growth initiatives under construction and positive impacts from our cost realignment efforts. While we do not expect a near-term recovery in drilling and completion rates nor sizable and immediate gains in our business segments that are influenced by activity levels, we continue to have clear visibility to oil sands production growth, which remains a key driver of the development projects in our Terminals & Pipelines segment. We intend to continue our focus on delivering midstream infrastructure solutions that meet our customers’ needs, while looking to increase asset utilization in our other business segments. Importantly, we will continue to drive sustainable cost improvements into our businesses, similar to the rest of the global energy industry, as we all adapt to the currently imbalanced fundamentals. I will now pass it over to Don who will discuss the highlights of our capital spending plans and our financial position. Don?
Don Fowlis: Alright. Thanks Stew. I would like to initially focus on Gibson’s capital expenditures in the third quarter where we spent $106 million on growth capital and $18 million on maintenance capital. Our third quarter capital expenditures are primarily directed towards the following key initiatives; storage tank expansion projects on the East and West sides of our Hardisty terminal and the Statoil tank and expansion of related infrastructure at our Edmonton terminal; and the new Athabasca Pipeline loop connection project at our Hardisty terminal. Due to support of weather conditions, we are making excellent progress in the fourth quarter on our construction projects that are currently underway. We also experienced increased cost certainty since we have been unable to negotiate more fixed price bids due to the slower construction market. In the next quarter, we will continue to focus our capital spending towards our Terminal & Pipelines segment as most of our 2015 expenditures plan for the other business segments, have already been completed. While we are currently formalizing our 2016 outlook, our previously announced preliminary growth capital spending plans for 2016 of $400 million could have a downward bias in all segments, with the exception of Terminal & Pipelines. Similar to the prior years, we will announce the outcome of our capital budgeting process in early December. Now turning to our balance sheet, at the end of September 2015, I am pleased to report Gibson maintained sufficient liquidity to continue to execute our business plan. At quarter end, we had $36 million of cash and no amounts drawn under our $500 million revolving credit facility. In the summer, we extended the maturity date of our revolving credit facility to August 2020. In the first tranche of our outstanding long-term debt, does not mature until July 2020. This likely time horizon and the staggered maturities of our debt provides us ample flexible – financial flexibility, particularly after considering the overall strength of our balance sheet. At the end of the third quarter, our ratio of debt-to-debt plus capital was 42%. Our leverage ratio, total net debt to trailing 12-month pro forma adjusted EBITDA, was three times and our interest coverage ratio was five times. The company declared dividends of $158 million in the 12-month ended September 30, 2015, while distributable cash flow for the same period was $228 million. Thus, dividends declared represented 69% of the distributable cash flow or 56% on a net cash basis after considering DRIP and SDP participation levels in the period. Our next quarterly dividend of $0.32 per common share is scheduled to be paid on January 15, 2016. As we announced in conjunction with our second quarter results, our DRIP and SDP programs have been suspended. However, we will continue to monitor our funding position and may initiate the DRIP and SDP programs again, if we feel it is appropriate to do so. Despite being currently above our targeted medium-term payout ratio of 50% to 60%, we are comfortable with the sustainability of our dividend based on our leverage forecasts and projected liquidity positions. Furthermore, with the high degree of certainty we have regarding growing our future cash flow and the increasing percentage of the cash flow that is backed by long-term take-or-pay contracts, we will continue to execute our capital initiatives and we remain committed to the long-term growth of our dividend. That concludes my comments. So I will turn it back to Stew.
Stew Hanlon: Thanks Don. So to summarize, we are pleased with the third quarter results and the successful progress we have made on our growth plans. While there are indications that are necessarily rebalancing the supply and demand and the energy market is underway, near-term relief is not imminent. However, we believe we are well prepared to adapt if conditions evolve. We are fortunate to have a cash flow base that is to a large degree, resilient in spite of activity levels. And we look forward to providing midstream solutions to our customers while continually strengthening our company through further costs and efficiency gains in the months to come. That concludes our prepared comments. Operator, at this time, I would like to open the call up for questions.
Operator: Thank you. [Operator Instructions] The first question is from Dirk Lever from AltaCorp Capital. Please go ahead. Your line is open.
Dirk Lever: Thanks very much. Good morning guys. Congratulations to you on a good quarter. Stew, you were talking on the GNP section – division about you had some non-recurring costs in the division, can you give us an idea of sort of the quantum of that that would not be recurring when we hit Q3?
Stew Hanlon: Yes, Dirk, if you look at sort of the slight miss that we had to most analysts projections, it’s in that couple of million dollar range. That’s really the quantum of the cost impacts.
Dirk Lever: Yes. That’s kind of what I thought it was, too. Thanks for confirming that. That’s the key question that I had. Thank you very much.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Jojo Lai from Macquarie. Please go ahead. Your line is open.
Jojo Lai: Hi, good morning guys.
Stew Hanlon: Good morning.
Jojo Lai: So in Q3, we saw trucking volumes and margins and environmental margins come under pressure. So can you provide color on the trends going forward, like what you are seeing so far in Q4, whether it’s additional pressures or have they stabilized?
Stew Hanlon: Well, as we – as I said in my prepared comments, we are expecting, probably stability to maybe a slight upward bias for our trucking business in the fourth quarter. The environmental services business, to be frank, remains challenged. I don’t expect material further deterioration in the fourth quarter. And what we have been saying, as we have been going through this is, there is going to be quarter-over-quarter variability in these businesses simply because of the short-term nature of the reporting cycle. But on balance, we believe that we are essentially bouncing along the bottom of the trough here. And so we expect that as we move through 2016, what you see is basically what you are going to get for those more activity impacted business segments, which includes trucking and environmental services.
Jojo Lai: Okay, thank you.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven Paget: Good morning and thank you. My first question is on Environmental Services, how much of Environmental Services would you say is drilling or activity based and how much would you say is production based in terms of margins?
Stew Hanlon: In a normal market Steven, we would say that – a year ago, I would have said that the business is about 60% production and about 40% drilling and completion. Obviously, that drilling and completion margin has evaporated, to a larger extent in the production services business. And so today, we are probably more biased to both 70% production and 30% drilling and completion.
Steven Paget: Thank you. A couple of questions, you seem to be focusing a lot on Hardisty where you said, you call it home-rise or sunrise advantage and you are looking at buying acquisitions in the other segments of the business, acquisitions that are almost more service co oriented. So what drives the overall theory behind making those deals?
Stew Hanlon: We have really been acquisition light, I guess as we have moved through 2015. We have done a couple of small acquisitions, companies by the name of Littlehawk, which we did in first quarter of this year, really complementary to our key businesses in Hardisty and elsewhere. And then T&R transport, which was in the Environmental Services space, which was really complementary to the PRD facility that we have completed in the Williston Basin. So both of those very small acquisitions were additive to existing infrastructure businesses, essentially. We have been signaling to the market that M&A, if it happens at all within this marketplace, it’s going to be very, very strategic and targeted. You can imagine that there is a tremendous amount of deal flow within the services space today, deal flow, which we see, but we have to this point elected not to participate. And as Don said in his prepared remarks, our bias is clearly against the backdrop of lower for longer to bias the vast majority of our capital to the infrastructure place, which are backstopped by long-term take-or-pay contracts.
Steven Paget: That’s good news. Thank you, Stew. Those were my questions.
Stew Hanlon: Thanks, Steven.
Operator: Thank you. [Operator Instructions] The next question is from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske: Thank you. Good morning. Don, I think you mentioned the CapEx guidance for ‘16 is $400 million, but with the downward bias, with the exception of terminals, what would be taking the brunt of the downward bias when you formally announce numbers in early December?
Don Fowlis: Probably, from where we were with the $400 million, there was a fair bit of capital spending in the Environmental Services space. And I think right now, we have – we are in the position where we are getting some of those projects shovel-ready, as we call it. So we are trying to get the permits, trying to get all set up to go, but not necessarily pulling the trigger on those projects until the environment improves and activity levels pickup in those areas. So I would say that year-over-year, that would take the brunt of the reduction.
Andrew Kuske: Okay, that’s very helpful. And then how are you thinking about returns on capital employed or ROEs, really at this point of the cycle, if we are in the lower for longer kind of environments and there may be opportunities to buy for value, maybe some selected opportunities to actually build for value. How do you think about just the return profiles. Did you see things being okay at this stage in time or you can make reasonable returns on capital, but then having an amplification upwards as things come back to a higher price environment in the future?
Don Fowlis: Yes. Like Stew had mentioned and I had mentioned earlier, I mean our bias today is to towards Terminal & Pipeline projects that are really locked in returns on a take or pay basis and we have been any able to maintain those returns relatively consistent with historical levels.
Stew Hanlon: Yes. I would say further to that, as Don mentioned in his prepared remarks, we are seeing better cost efficiency and greater cost certainty with respect to executing on those projects. And so obviously, that helps us with the overall return profile on the business as well. To your point, to the extent that we would be involved in any M&A and like I said we have done a couple of small deals, obviously the price point for those deals reflects current run rate EBITDA, which we would expect to improve as conditions improve. And so yes, there should be an amplification in terms of returns there.
Andrew Kuske: Okay, that’s great. And then one final question and this is more in – and that’s the key category, just on Page 11 of the MD&A with the sales volumes, I am just curious on what caused the flip with the other NGLs. If we look at butane versus condensate in that quarter when compared to a year ago, you have got a – say it’s a complete flip of those numbers where you got 1,000 plus on the butane this quarter and 600 plus on the condensate where it’s the opposite last year?
Stew Hanlon: We react essentially to what market – what the market gives us. As I have mentioned in my prepared remarks, that whole business segment benefited tremendously from the addition of tanker capacity that we have laid in over the last couple of years. That tanker capacity, of course is – we are able to utilize that for either, basically NGL or – and LPG molecule. And so within the marketplace, we move volumes and molecules, basically to where the market demands them.
Andrew Kuske: Okay, that’s great. Thank you.
Stew Hanlon: Thank you.
Operator: Thank you. The next question is from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven Paget: A follow-up question, we have seen pipeline capacity expanded between Edmonton and Hardisty, Gibson has terminals at both sites, has this pipeline expansion been good for Gibson, bad for Gibson, indifferent, and if so if it has an impact, which divisions did it impact?
Stew Hanlon: Steven, we are obviously a big cheerleader when it comes to any pipeline and the capacity additions within the basin to the extent that it makes the basin more competitive and more efficient. So I would say that on balance, it’s been a positive to us. As you pointed out, we have facilities at both ends. And so as we look at the tremendous addition to capacity that has been added North of Hardisty essentially or upstream of Hardisty, if you will, we think that’s a tremendously positive thing for the industry. What we – what we are watching and what the industry is watching now is egress downstream of Hardisty, basically to the export markets, be that the East Coast of Canada or the West Coast of Canada. We are expanding that capacity to the United States. That’s really – that egress or potentially lack thereof, I think potentially has a long-term beneficial impact on to the value of our land position and our terminal position at Hardisty. So if barrels come to Edmonton and then they get repositioned and go downstream from there, we are certainly in a position because we have got very strategic land positions and capabilities to handle those volumes. At the end of the day, the vast majority of oil growth coming out of the WCSB is going to have to come to and/or through Hardisty. And so we think we are particularly well situated to take advantage of that position there.
Steven Paget: Thank you, Stew. And that’s my follow-up.
Stew Hanlon: Thanks Steven.
Operator: Thank you. There are no further questions. I would now like to turn the call back over to Tammi Price.
Tammi Price: Thanks again for your interest in Gibson. As mentioned earlier, Cam and I are available after the call if there are more questions. Have a good day, everyone.